Operator: Good day and welcome to the TechPrecision Corporation Fourth Quarter and Fiscal Year 2014 Financial results Conference Call. Today’s presentation is being recorded. At this time I would like to turn the call over to Brett Maas of Hayden IR. Please go ahead, sir.
Brett Maas: Thank you. Welcome to everyone joining us today. On the call with us today are Leonard Anthony, Chairman of the Board of Directors and Principal Executive Officer; Rich Fitzgerald, Chief Financial Officer; and Alex Shen, President of TechPrecision’s Ranor Division. I’d like to mention this call is being simulcast on the website at www.TechPrecision.com. Before we begin, I’d like to remind our listeners that management's remarks may contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your question. Therefore, the company claims the protection of the Safe Harbor forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and therefore we refer you to a more detailed discussion of risks and uncertainties in the company's financial filings with the SEC. In addition, projections as to the company's future performance represent management's estimates as of today, July 15, 2014. TechPrecision assumes no obligation to revise or update these forward-looking statements. With that out of the way, I’d like to turn the call over to Leonard Anthony, Chairman of the Board of Directors and Principal Executive Officer, to provide opening remarks. Mr. Anthony?
Leonard Anthony: Great. Thanks, Brett, and good day to everyone and thank you for joining us. As you have seen in the earnings release that we just filed, fiscal 2014 was another challenging transition year for the company as it struggled to recover from historical reliance in the solar industry. We’re pleased to see our reach that a key customer business partner Mevion Systems achieve a significant clinical milestone with the Mevion’s S250 proton beam system during this past fiscal year. While this milestone significantly enhances Mevion’s potential for success, our sales to Mevion were $5.6 million lower in fiscal 2014 when compared to our fiscal 2013. This reduction in volume from a key customer is evident within our reported fiscal 2014 results. But now that patients are actively being treated with that system, we expect that Mevion’s customer base will progress with facility construction and clinical conditioning at a more aggressive pace. Since Ranor began its relationship with Mevion eight years ago, Ranor has completed components for five Mevion S250 systems. Presently Ranor has long lead components in production for Mevion’s next five systems. We look forward to continuing to support Mevion in their market roll out of this innovative cancer treatment breakthrough. Our fiscal 2014 sales to customers in the Navy Maritime sector remained potentially flat year over year at $9.7 million, while sales to customers in the nuclear segment increased nominally at about $0.5 million to $4.2 million during fiscal 14. We continue to pursue additional outsourcing opportunities in the Navy Maritime sector and we’ll maintain Ranor’s unique position within the nuclear sector going forward. Within our 10-K, there’s an item number 3, legal proceedings. We have disclosed that we have initiated legal proceeding with a customer regarding modifications to a purchase order. As this is an active and ongoing legal proceeding and we really don’t want to compromise the matter in any way with any commentary, we’ll be limiting our remarks and disclosure solely what has been disclosed within the 10-K and we’ll refer you to that document. The legal proceeding is intended to recover some of the contract loss provision the company recorded in Q4 of fiscal 2014. The last time we addressed shareholders and key stakeholders was in mid-February during our Q3 conference call. Since that time, we have been busy focusing the company at the Ranor Division and been focused on financing activities. In late May, we completed a $4.1 million refinancing of the production equipment at Ranor and we have continued to progress refinancing efforts relative to Ranor’s real estate assets in order to enable Ranor to pay off equipment and real estate debt with our legacy bank. This process has taken longer than originally envisioned due to measures necessary to allocating space collateral among the various creditors versus a single creditor for all classes of collateral. When we conclude our process, Ranor will be financed by asset based creditors with more freedom to exclude the types of financial covenants that have proven to be problematic during Ranor’s transition. We also have serially amended our forbearance arrangements with our legacy bank and they have remained patient and supportive while monitoring our refinancing initiatives. In late June, we announced that Alexander Shen was assuming the role of Ranor’s President. Alex spent a good deal of time with the company’s Board of Directors prior to assuming this role so he can truly hit the ground running. During his first three weeks at Ranor, Alex has been out seeing most of the key customers and been laying the groundwork to reenergize the Ranor team and return the company to profitability. He will be focused on approving the organization, modifying the business strategy and approving the execution. The key to his near term success will be securing a higher volume of production orders. With that, I’ll now turn the call over to Rich for a recap of our financial results. Rich?
Richard Fitzgerald: Thank you, Len. First I will cover operating results for the quarter ended March 31, 2014 and then I’ll cover the full fiscal year results ended on the same date. For the three months period ended March 31, 2014, revenue was $3.6 million compared with $9.9 million in the same fiscal quarter one year ago. The $6.3 million or 64% revenue reduction was distributed amongst our three sectors as follows; $0.6 million in lower sales volume with naval maritime customers, $0.4 million in lower sales volume with our nuclear customer and $0.53 million in lower sales volumes for customers in the precision industrial sector. Sales volumes with our Proton beam therapy customer, Mevion systems were $2.4 million lower than the same quarter one year ago, while sales to our polysilicon customers were $2.8 million lower this year versus Q4 last year as that project with that customer concluded during Q2 of this last fiscal year. Gross margin for the quarter ended March 31, 2014 was a loss of $2.7 million compared to a gross profit of $1.6 million or 16.4% of sales in the fiscal fourth quarter of last year. Contract losses of $3.1 million recorded within the fourth quarter of fiscal 2014 on US production and the lower sales volume negatively impacted Q4 fiscal 2014 results and driving the period to a loss. We’re presently working through a process to recover much of the Q4 contract loss associated with one customer order. Turning to expenses, selling, general and administrative expenses for the fourth quarter were $1.4 million, which compares with $1.9 million of general administrative cost in the fourth quarter of last year. SG&A costs for the quarter were $0.5 million lower due to lower compensation cost of $150,000, lower professional fees of $200,000 within the quarter and lower general administrative fees, including travel and business development of $175,000. Net loss for the quarter ended March 31, 2014 was $4.1 million or $0.19 per share basic and fully diluted. This is based upon $21.2 million shares basic and fully diluted outstanding through the fourth quarter. This compares with a net loss of $1.1 million or $0.06 per share basic and fully diluted on $19.1 million basic and fully diluted weighted average shares in the prior year fourth quarter. Moving on to the full year financials, for the 12 months ended March 31, 2014, consolidated revenue decreased 35% to $21.1 million from $32.5 million in the prior year. The $11.4 million or 35% reduction in sales volume is associated with $11.8 million in lower sales to precision industrial customers and approximately $ 100,000 in lower sales to customers in the Navy Maritime sector. These reductions in sales volumes were partially offset by a $0.5 million increase in sales volume with nuclear customers during fiscal 2014 when compared to the prior year. Turning to gross margin, for the year ended March 31, 2014, gross margin was a loss of approximately $732,000 compared to gross profit margin of 20.2% or $6.6 million in gross profit for fiscal 2013. Contract losses of $4.9 million recognized during fiscal 2014 plus unfavorable overhead absorption on lower sales volume drove fiscal 2014 gross margin to a loss. Selling, general and administrative expenses for the 12 months ended March 31, 2014 decreased to $6.1 million from $8.2 million for the same 12 month period one year ago, reflecting a decrease of approximately $2 million or 25%. The decrease resulted from lower compensation and benefit spending of about $0.8 million compared to the prior year, reduced expense from professional fees of approximately $0.6 million versus the prior year, and reductions in travel related expenses of $24 million during to 12 month period ended March 31, 2014 versus the year previous. Net loss for the year ended March 31, 2014 was $7.1 million or $0.34 per share basic and fully diluted. This is based upon $20.8 million shares basic and fully diluted outstanding and this compares with a net loss of $2.4 million or $0.13 per share basic and fully diluted on $19 million basic and fully diluted weighted average shares for the prior year. Net precision reported operating cash flows of $0.2 million for the year ended March 31, 2014, compared to $1.8 million of operating cash flows for the period ended March 31, 2013. During the year ended March 31, 2014, purchase of property plant and equipment approximated $65,000 as compared to cash used in investing activities the prior year of $700,000 for property plant equipment. During the year ended March 31, 2014, the company paid down $2.1 million of debt. And the company’s revolving credit loan of $0.5 million outstanding at March 31, 2013 was paid in full on July 31, 2013 when the revolver expired and was not renewed. In the prior year the company paid $1.4 million of debt from a cash flow perspective. At March 31, 2014 TechPrecision had negative working capital of $2 million as compared with working capital of $3.1 million at March 31, 2013. As of March 31, 2014 the company had $1.1 million in cash and cash equivalents compared to $3.1 million at March 31, 2013. The working capital metrics include the impact of classifying all debt as a current liability at both the year end March 31, 2014 and 2013. Additionally, working capital at March 31, 2014 includes the impact of $3.3 million in contract loss provision which is included within accrued expense as of yearend. You might find additional details in our filings submitted to the SEC. With that brief financial recap I’d now like to turn the call back over to Len, for some additional remarks. Len?
Leonard Anthony: Thanks Rich. I want to just take a minute here. While we did make a press release about Alex Shen when he joined, just a couple of quick comments. Alex has had over 31 years of demonstrated success in a broad range of industries including metal fabrication, automotive, contract manufacturing, safety and security and industrial distribution. And we found that in our discussions with him and certainly since he’s been at Ranor, that he brings a great deal of energy and commitment to his work. And I think in the past that’s been evidenced by a track record of successful leadership and results have turned around and strategic growth opportunities including mergers and acquisition. We at TechPrecision are very pleased to have Alex on board with the company and today we wanted him offer just a few comments for you. So Alex, it’s all yours.
Alex Shen : Thank you, Len and good afternoon. I’m Alex Shen with three weeks in the position. I would like to take a few minutes on this call today to talk about why I came on board to lead Ranor. In the first two weeks I have already contacted and personally visited our key customers in the naval maritime, precision and industrial and nuclear sectors which comprise the majority of Ranor’s business. I have personally confirmed that our customer base remains very interested in sourcing Ranor for its consistently high quality products. After reviewing all my functional areas at Ranor, I see that Ranor has the master craftsmen on the production floor and the engineering knowhow to continue the trends of supplying quality products. We simply need to get all of Ranor reenergized and focused on business that fits within our wheelhouse of core competencies and that leverages our combined mastery of fabrication and machinery. I will be working to establish a strategy to lead Ranor back to stability and profitability over the next few months. I appreciate this opportunity to address key stakeholders of the company and look forward to delivering performance that supports investor confidence. Len, back to you.
Leonard Anthony : Great. Thanks, Alex. In summary we are going to remain focused right in achieving rapid improvement in productivity and meeting our core customers emerging requirements. Additionally we’ll be continuing to work on strengthening our liquidity and financial condition. We are optimistic that by later this year we all will start to see the results of the effect of Alex’s turnaround plans at Ranor. Additionally, we appreciate the continued support of our customers, employees, lenders and investors as we work to rebuild Ranor. We plan to provide you with a further progress report sometime around mid-August when we report our first quarter fiscal 2015 results. That concludes our prepared remarks. Accordingly, I’d like to open up the call for Q&A.
Operator: (Operator Instructions) And we’ll take our first question from Ross Taylor of Somerset Capital. Please go ahead sir.
Ross Taylor – Somerset Capital : As a result of the actions in the last eight months and most particularly what we viewed as the (inaudible) surrounding the debt refinancing and then the announcement today of another $3.1 million in losses on contract making what $4.6 million in the last two quarters, I think I have to tell you and everyone on this call that we at Somerset Capital no longer have any confidence in the management at TechPrecision or its board of directors. To be blunt, we find it incomprehensible that a company with $21 million in sales can in six months incur over $4.5 million in cost overruns on just two contracts. We also feel that the failure to execute on both the top and bottom lines has resulted in a squandering of what was once a pretty substantial cash balance and what’s happened in the last six months as we’ve gone from where we view debt as more of an inconvenience to where it’s become a real threat to the interest of shareholders. And we think that management and the board have to accept that the responsibility for all of this lies at their feet. We also feel it’s important that shareholders understand as way of background that last November we brought to the company a proposal that would have resulted in the refinancing in neighborhood of about $5 million, it would have had modest warrant dilution at that point in time and would have had a substantially lower interest rate than the one that you incurred. Unfortunately, management and the board never acted on that. In March we brought it back to you guys. We were confident that we and other shareholders would supply the capital that was needed. You never acted on that. As a result we feel that the debt hanging -- the debt refinancing as an overhang and the operational failures have basically taken away all of the positives that could have been incurred by Mevion, the Navy putting up a contract for the submarines and a series of other steps. And we think that the repeated stumbling by management in its ability to profitably execute its contracts has not only severely damaged the stock price, but has also reduced the strategic value of the company. We feel that the longer management and the board are allowed to remain in place, the less confident shareholders are going to end up having in management and the company’s leadership. The fact that management and the board allowed the situation to fester for months and have yet to really put in a full complete closure on the financial side is damaging to all of us and we are unable to support the retention of the current directors of this company. To be blunt they have simply acted without the requisite intelligence or alacrity to deal with the problems that we see facing. And we welcome conversations with any and our large shareholders as we explore every option we have available to us to make sure that going forward TechPrecision shareholders are not subject to the kind of fiasco that we see in the last six months. Thank you.
Leonard Anthony: Thanks Ross for your comments. 
Operator: And Steve [inaudible] Investment Consulting has out next question.
Unidentified Analyst: What does your current booking stand at right now?
Richard Fitzgerald: Steve, we’re still at about $22 million backlog as of today. We’ve got this reorder issue that we addressed or the change in a customer order could result in debookings of $3 million to $5 million on that, but we’re still on $17 million to $22 million with that in play.
Unidentified Analyst: Okay. And a while ago you announced an $8 million dollar purchase order with GTAT. Can you provide and update on that?
Leonard Anthony: Yeah. As we identified earlier that we can’t really comment other than what we’ve put into our legal proceeding section in the 10-K that’s filed and I’ll summarize what it says there and that is on May 29 we filed a demand for arbitration against the customer for a breach of contraction duties in accordance with the purchase order that’s in place November 8 2013. As you imagine we can’t predict the outcome of where that’s going to go. We’ve been in discussions with the party regarding this matter. The discussions continue but at this point I can predict what the outcome would be. We think it’s frankly disappointing and unfortunate that we are where we are. We had thought that before this case got filed we could come to some resolution that would have either had a different accounting result than the one that you see, but we were unable to reach what we thought was a fair agreement for the shareholders. 
Unidentified Analyst: TechPrecision has had a very long standing positive relationship with GTAT. It looks like you’ve lost this order. What’s going on? Why did you lose it?
Leonard Anthony: I think we made the point why we’ve got an active legal proceeding. We’re not in a position to comment on that topic.
Unidentified Analyst: Okay. So let me ask …
Leonard Anthony: It would prejudice proceeding that’s underway.
Unidentified Analyst: All right. So let me ask the question a different way. You’re losing customers. Your executives are leaving or being fired. What’s happening inside the company that’s causing this to happen?
Leonard Anthony: Well I guess just to reiterate a little bit what Ross Taylor said, the performance as you can see over the last couple of years has been quite disappointing to say the least and we acknowledge his comments. I support many of the things he said in terms of where we’ve been. And so losing customers I think is -- that’s a statement that I’m not sure is entirely accurate. I think if we actually look at the number of customers we have today in the diverse backgrounds and markets they serve, there's been some growth in the customers. So yes, in the case of GT, your conclusion is we’ve lost another customer, I don’t know that I’d reach that conclusion as of yet. I think we -- again we’ve had an unfortunate situation that needs to get resolved and we’re working to resolve that. So, from my perceptive really not any loss of customers during this period. Yes, there has been changes. There have been changes in management and that’s been a direct result what we see in terms of the results. 
Unidentified Analyst: Okay. And Leonard, this question is to you. Please don’t take it personally. It's just I've been a long term shareholder of the company. I’ve got my clients invest in the company. But you’re a Board of Director and you’re also acting as with title the Principal Executive which is essentially the CEO. And as Ross mentioned before, the company has really crumbled under your leadership. Putting on your Board of Director hat, you have a fiduciary duty to oversee the company, how would you rate your leadership in managing this company? Are you the right person for the job?
Leonard Anthony: I think there’s many elements to leadership and -- Am I the right person for leading the board? I think that’s probably a yes because if you were involved in many of the board deliberations and discussions, you would understand that the only reason that someone stepped up and started to drive changes is because I was pushing it. Whether I’m the right person or not, I would say that if you think that my job is to run the Ranor Division which comprises 99% of the company, the answer to that is no. And anyone can conclude that that would not be the right use of my time or a key strength for me. I attempted to step up into this role of Executive Chairman at the request of other members of the Board of Directors in an attempt to try to deal with some of these issues that were happening long before my arrival. And yes, the results under my nine months of leadership have in terms of the company results, have been awful. One of the contracts was booked --one of the big losses was booked well before my arrival and it resulted in this big, significant loss. This other unresolved issue hangs out there and is clearly an enormous disappointment to me and I take full -- I’m the Principal Executive Officer. I take full responsibility. I think that you’ve seen that there’s some changes. There’s going to be more changes and frankly as Ross points out, to the extent that someone has some good suggestions about where to take the company and go forward, I’m all for it. And frankly if there’s a person out there who wants to step into the role and lead the board in a different direction, I encourage that as well. I'm not here trying to do anything but support the shareholders, even it’s been -- the performance has been an embarrassment and I couldn’t be any more blunt about it than that. It's been a huge disappointment, a huge embarrassment and it's occupied a significant portion of my time putting it than I ever should have or I should have never let it get to that point. This is not a good use of my time frankly, but I have been committed to it and committed to trying to get this turnaround. I'm positive about the addition of Alex. I think he’s the right kind of executive with the right kind of experience to lead the Ranor Division and presumably when he starts to deliver results maybe take on a broader role as well. 
Unidentified Analyst: Okay. And the customers that have been lost, have they provided feedback as to why they are leaving TechPrecision?
Leonard Anthony: Well, as I said, I don’t think we really lost customers, at least not that I'm aware of. Certainly volumes have not been what they were expected to be with Mevion and clearly we’ve got a matter to be resolved with GT. So again, I don’t really see the loss of customers. I think and Alex would probably say this too in his brief time at Ranor what he’s discovered is that execution at Ranor is not what it should be principally in terms of on-time delivery. The quality at the business from all measures, including key customer feedback is exactly where it needs to be. The problem is if I could summarize it is just simply on time delivery and that’s just a problem with managing work flow. 
Unidentified Analyst: Okay. Is that an issue with not having enough employees or something?
Leonard Anthony: I think, to be fair I think there maybe too many employees they may not just be organized right because the other thing that has to happen is if you look at the company, put aside all the extraneous public company costs and the other things that small companies absorb is -- to be competitive in the market it serves, you also have to be low cost and it has to be competitive with firms in different regions of the country and world. And it probably could make some progress in that regard. And again I think Alex is kind of already on to that and he’ll make improvements in that area. 
Unidentified Analyst: Okay. Aside from the current customers that TechPrecision still has, are there any major new sales initiatives or new areas that the company is looking to enter to? 
Leonard Anthony: Well, there are and I would prefer to defer the answer to that until Alex just does a little bit more work on where he thinks he can take the company and what markets he thinks we can serve better than some of the markets we’ve been involved in, because frankly some of the markets we’ve been involved in are highly volatile and have resulted in the past in kind of unusual situations with contracts and volumes and that sort of thing and that’s not conducive to a productive TechPrecision and Ranor. 
Unidentified Analyst: Okay. One last comment, you don’t have someone answering the phone, the phone number on your website. Your website is not updated. You’re starting to look like a dying company. And whether that’s relevant or not in your opinion, that’s your opinion. But just from someone looking from the outside looking in, it just doesn’t look good. I know you have a lot of stuff going on. Your resources are tight, but from a personal marketing point of view just, I don’t know, it just needs to be fixed. Otherwise it looks like a crumbling company. So, anyway thank for your time. 
Leonard Anthony: Thank you
Operator: Walter Schenker of MAZ Partners has our next question. Please go ahead, sir.
Walter Schenker – MAZ Partners : Or I guess you could start by saying the next person to pile on. The history of this company for almost forever has been the inability from time to time to produce to contract at a profit. Not all contracts, but for major overruns, some major problems forever. There have been multiple changes. Bob Francis was brought in because the prior people couldn’t get it right. Now Bob Francis is gone because Bob Francis couldn’t get it right. Hopefully Alex is better than all of the prior people it is largely inconceivable. He could be worse and if he is worse then we’d sort of mute because they will clearly drive the company under. I’m still trying to understand and this is to the board and to you Len, having watched not saying your current position but previously, the series of problems at a single facility which is making in some cases repetitive products where there is a large known problem, just what oversight actually takes place that this happens again and again. It’s like a New York with a big bang. Nonrecurring billion dollar write-offs forever or multibillion dollar write-offs and TechPrecision is now recording recurring multimillion dollar write-offs as far back as almost the eye can see. I’m just trying to understand why or who is overseeing this so that that keeps happening.
Leonard Anthony: Walter, my assessment of the situation is as you point out, this has gone on and if you look back in the company’s history it’s been a repeated issue. As I look at it, what I have said to Alex and other is what brain we lack of acumen. As he points, it’s got great craftsmen. It’s got great engineers. They make awfully good products when they make them. But in today’s world time to shipment, procurement expertise, there’s a lot of factors that help drive profitability, a motivation or an operating mentality that your objective is to generate profits, not make products. And as I look back at the company history again, I’ve gone through cycles. And what’s happened is when it’s gotten really bad, some, one way or another some money shows up, gets them on a positive trend and then there’s maybe a little bit of a positive cycle and then it turns down again and unfortunately we’re in the depths of a pretty ugly situation right now. But I think what the challenge is and this is what we’re challenging Alex with is how do you build the business acumen across that organization and build a culture that gets people focused on why they come to work every day which is to make products for customers that generate profitability for shareholders. And without the total picture things don’t work. And where I think this has been broken is it’s been disconnected from a profit motive at Ranor in the past.
Walter Schenker – MAZ Partners : But that was again to pile on, that was identified multiple times in my history, unfortunate history and exposure to the company that that type of a problem exists. That they were either doing one offs or they weren’t doing it efficiently or we weren’t controlling the manufacturing. And I guess the answer and I shouldn’t answer my own question which goes back to what Ross said is if that skillset is so foreign to this facility, maybe some other group or entity and I don’t mean replacing you, I just mean there’s some other corporation or somebody who can run to produce those facilities better than we can. It can’t be worse.
Leonard Anthony: No, exactly and I got -- just again to be open book on this, as part of the financing process which I would take a little issue with, but I won’t take a little n issue with on this phone call today, there have been folks engaged in not only helping us oversee where we should go on financing, but also consider strategic alternatives. That process has to continue as well and proceed with our goals because I agree with you that given where this has been and given what we believe is the potential future value of the physical assets, that it’s possible somebody else could come in there very quickly and make a huge improvement. So far we haven’t found that person.
Operator: Next we’ll hear from [inaudible] from AIGH Partners.
Unidentified Analyst: Hi. Going forward over the next 12 to 18 months, can you lay up some strategic plans, some milestones that you can hit so we can track to see if things are I guess trending in a better direction. Is there anything objective we can look for?
Leonard Anthony: Again we’ll try to come back to you with after Alex has had a few more weeks and proceed more of a strategic plan. But the things that you should be tracking and we should be providing to you to track which would be an indicator of significant improvement would be a growth in [inaudible] on bookings from where we were in last fiscal year to this fiscal year and currently the expectation is for that to occur. And should that occur, that will have a $5 million dollar topline and a positive bottom line effect. Similarly, with the General Dynamics Electric we’ve both talked in the past about all this block four work et cetera that should be coming to the forefront. I think there’s also some what I would think would be outsourcing opportunities to work with them to get some smaller work. In summary, some growth from General Dynamics Electric. They truly place a high value on Ranor and Ranor continues to be in business and supplying them. I think to the extent we expect to draw out more electric boat work and we see Mevion developing, that’s going to have a major positive impact in the bottom line of the company. Longer term, Alex and his team are going to have to start to develop some other what I would describe as long-term stable markets as opposed to trying to pursue short-term or one off or that sort of thing which has really occurred in the past. That’s a little bit more of a longer journey. So what we’ve kind of worked with Alex on is in the short run as I said in my prepared remarks, we really need to start to see more bookings in the near future from our core customers, General Dynamics, others in the Defense industry, Mevion Medical Systems and that’s going to go along way. Because while the results have been dismal in the past and remain unbelievably poor, our execution and if you look -- if you take out the contract loss issues, the company has been doing pretty well. So if we can grow with the customers where we have reasonable margins and we’ve been successful in the past and those customers really do value us and we get a few million dollars more revenue, it’s going to dramatically change the bottom line. So we’ve got to be tracking those key and core customers because right now we can’t go develop a brand new market. We have to take the customers we’ve got and grow with them.
Unidentified Analyst : What does Mevion look like for the next 12 months?
Richard Fitzgerald: If you look in history, they were roughly magnitude $8 million in the fiscal year ended March 31, 2013. We expect then to rebound to that level and then their forecast would tell us we get north of that level and into the eight figure territory as they prosecute their backlog over the five year exclusive contract we have with them. Mevion is a good example of a customer that gives us good forward visibility. They give us a rolling 14 month forecast. We watch that and see if they are maintaining it. And again when we have a customer that we are used to making the product, we get good visibility and we can plan and gear our capacity to that load and order volume. It’s a very efficient use of our capacity. Where we struggled is we’ve had a lot of one offs and a lot of moving around, but not really been able to maintain the visibility across all customer classes. As we migrate forward, we should get to the point where we’ve got a mix of business that’s got good forward visibility both in the backlog and the pipeline and it’s a very sticky relationship between our Ranor facility and that customer who’s outsourcing to it. So we expect it to recover to its high seven figure level as we track through this fiscal year and we expect it to surpass that in subsequent years assuming they continue with their successful launch of that product into the marketplace. Does that help color?
Unidentified Analyst : Okay. So you are -- yes, you have visibility for that in the next 14 months and that looks like you should be back to the 2013 levels which would mean I guess a couple of systems or something like that. 
Richard Fitzgerald: We would like to see that. Currently and I think Len commented on this in his comments earlier, in the course of history our eight years with them we supplied them with component for five systems. We presently at Ranor today have the long lead components for the next five systems in their build out and launch of that S250 product line. So that a good thing. What we really need to see is all five of those next units going in earnest at a good pace that really fills Ranor’s capacity. And if we get up into the high eight figures meaning that the loaded mid-teens, we then really have to think about balancing our capacity at Ranor to host that type of volume from Mevion. So again we work with them over a two to five year planning horizon which is the life span of that exclusive supply agreement we are in with them. And we try to make sure we can have the capacity available with our other customers and with the additional load on the Ranor facility. That product line being delayed or dropping in its revenue is something that’s hard, been hard and a struggle to adapt to. 
Unidentified Analyst : I guess my last question on this is has there been any recent changes to particularly the Mevion backlog?
Richard Fitzgerald: No. We are still -- we’ve been hovering around, about a $2 million backlog with them and we expect as we track back through the back end of this current fiscal year 2015, that we’ll see that, get up into the high seven figure, mid seven figure, high seven figure range if they can stay on their trajectory. 
Operator: And next we’ll hear from Rich MacGallen of SSC holdings. Please go ahead.
Rich MacGallen – SSC Holdings: Hi. I’ll keep this short. As a long suffering shareholder I’m in total agreement with Ross and to a large extent with Walter Schenker. I think it’s time for a significant change. I look forward to discussions in this matter. As to everything else that’s been discussed ad nauseam and thank you for taking my comments. 
Operator: And Richard Greulich of REG Capital Advisors has our next question. 
Richard Greulich - REG Capital Advisors : I have a couple of different but somewhat related questions. The first is addressed to Mr. Shen and realizing that you’ve been only been on the ground a couple of weeks, I’m interested in your thoughts regarding Ranor’s cost accounting, MRP Systems, the evaluation of it now and what needs to happen going forward.
Alex Shen: Understood. Well I’ve been in the position for three weeks and most of my time in the three weeks has been really occupied with understanding our customer base and understanding what’s in our wheelhouse and what -- basically what Ranor is good at. I don’t have a good answer to your questions at this time. But those are definitely good questions that I will be probing myself. 
Richard Greulich - REG Capital Advisors : Number one, I appreciate you are candor because if you had said, if you’d come back and said really specific things I wouldn’t have believed you. It’s a probing question. 
Alex Shen: Absolutely, and this is not my first time or second time. That’s something that I know how to do is understand MRP and how it interfaces with accounting and how we can run this company and bring stability and profitability. All the systems have to link and talk to each other even if it’s just a person system talking to another person. So I’ll need to find that out and the devil is in the detail. It will take me sometime but I need to find that out and I will.
Richard Greulich - REG Capital Advisors : Thank you. Secondly, just curious, it seems that and this maybe is to Len, in the past with all this one off production orders and then subsequent cost issue problems, it seems that the company was unwilling to do what now apparently you now are doing is addressing more aggressively with the customer you have to get paid. When did that change occur?
Leonard Anthony : Well, my philosophy on this is in pretty firming, again one of the reasons we recruited Alex is he completely agrees with me on the necessity of being firm. And that started as I became Chairman and we had this brewing contract loss with a customer. The contract loss we recorded is two customers. The other one was on the books before my arrival and it was a mess and we decided to start to take a much more firm position. It hasn’t -- that one has not proven to workout. But look, my opinion is with a small company like this one serving big clients, large public companies, we have to be in a position of standing firm expecting to be treated fairly. We cannot get whip sawed by typical procurement practices that those firms may apply to larger firms. We just simply -- we can’t put ourselves in that position. We can’t, forgive my language, we can’t bend over. We have to supply customers with high quality products on time, exactly what they want, high precision high quality, but we have to be expected to be paid for it and paid timely for it and treated as if we are a valuable part of the supply chain. I’ve had experience with much larger firms and I’ve seen how other large firms behave with their small suppliers and we’ve been in the small supplier category for General Dynamics and others. It’s a much different situation that Ranor has and TechPrecision has historically faced here. For us to take huge losses from companies like Air Products and Chemicals is absurd. I can’t use any other word. As I joined the board and I thought as it was exceedingly frustrating to me that we put ourselves in a position of absorbing that when the firms we are doing business with, who are guiding us into these situations and Air Products is a classic example, you clearly had more than actual resources financial and otherwise to help us help them with unique one off product. And then to be put in a position where you get no follow on business as a result of that was more than absurd it was stupid. So I’m trying to take what I consider to be a fair approach with everyone we do business with. And Alex I can assure you has been out to see customers and he has explained his approach of he will meet their expectations and he has expectations. We just have to approach business differently than we have in the past. So it hasn’t shown any results because many folks on the call pointed out the results have been dismal and they are right. But getting the right strategy in place and moving forward with improved executions I think can deliver results for shareholders. It’s not going to be tomorrow, but I’m confident that with these assets and with the customers and with principally the right people because in this side of business my experience would be the leader is critically important, the guy running the business, calling, meeting with the customers, it’s pretty much on an individual and the team the he brings around him. 
Richard Greulich - REG Capital Advisors: If in deed the Mevion business and the General Dynamics business picks back up, is it likely it would pick back up to the point where the company could be break even, let’s say a year from now?
Leonard Anthony: Yes.
Richard Greulich - REG Capital Advisors: Based on what you were talking about earlier in terms of what you expect to see. 
Leonard Anthony: Yeah, and bottom line is I have higher expectations than that. But look, what we are trying to do right now is strip this down to its core, and with Alex’s leadership build a company off the assets that we’ve got and the customers that we have. I’m reasonably confident that can be done. It’s not happening tomorrow, but it’ going to get processed and our hope is and plan is to continue to report about progress from this point forward as opposed to lack of progress. 
Richard Greulich - REG Capital Advisors: And two real quick last questions for Mr. Shen. Number one, do you believe or do you feel that you need or have plans to bring on one or two new people with you that you feel could fulfill a role that needs to be fulfilled at Ranor?
Alex Shen: I don’t feel anything. I believe what I need to do is try out all the guys at Ranor first because a turnaround can be disastrously affected if the guy who’s got the finger on the trigger pull it too fast or too slow. The first thing to do is decide to evaluate and weather all the criticisms and comments about how slow or methodical he might be. It’s like running a race without the right shoes on and going back and retrieving your running shoes and putting them back on again. I can’t answer the question now, but I will be able too soon. 
Richard Greulich - REG Capital Advisors: And the last question then would be, again this maybe a little premature but it seems that there is a need for a little bit more consistent smaller business. Is there any obvious low hanging marketing fruit there to be obtained?
Alex Shen: I don’t know the answer to that question, not right now.
Operator: And that concludes today’s Question-and -Answer session and I would like to turn the call back over to management for any additional or closing remarks.
Leonard Anthony: Appreciate you all taking the time and your participation on the call today. Thank you very much. 
Operator: And that does conclude today’s conference. Thank you for your participation. 